Operator: Welcome to the Cedar Fair second quarter earnings conference call. (Operator Instructions) I would now like to turn the conference over to Stacy Frole, Director of Investor Relations.
Stacy Frole: Earlier today we issued our second quarter earnings release. A copy of that release can be obtained on our corporate website at www.cedarfair.com or by contacting our investor relations offices at 419-627-2233. On the call this afternoon are Dick Kinzel, our Chairman, President and Chief Executive Officer, and Peter Crage, our Vice President of Finance and Chief Financial Officer. On the call today we will discuss our performance through the first half of the year, attendance and revenue trends through this past weekend, and provide our near-term financial outlook. Before we begin I need to caution you that comments made during this call will include forward-looking statements within the meaning of the federal securities laws. These statements may involve risks and uncertainties that could cause actual results to differ materially from those described in such statements. You may refer to filings by the company with the SEC for a more detailed discussion of these risks. In addition, in accordance with Regulation G non-GAAP financial measures used on the conference call today are required to be reconciled to the most directly comparable GAAP measures. During today’ call we will make reference to adjusted EBITDA as defined in our earnings release. The required reconciliation of adjusted EBITDA is in the earnings release and is also available to investors on our website via the conference call access page. In compliance with SEC Regulation FD this webcast is being made available to the media and the general public as well as analysts and investors. Because the webcast is open to all constituents and prior notification has been widely and unselectively disseminated, all content of the call will be considered fully disclosed. Now let me turn the call over to Dick Kinzel.
Richard L. Kinzel: Before we begin discussing the business, I’d like to first take a moment and address our recent unit market performance. Our unit price has dropped about 15% in the last 60 days. Of course we are disappointed in this performance. We understand that this is generally consistent with the decrease in valuation among other consumer-driven and high-yield companies. However, we believe our business structure and model is unique and will withstand this short-term pressure. We operate 11 premium amusement parks, six outdoor water parks, one indoor water park, and five hotels throughout the United States and Canada, providing a geographic diversity, a diversified asset base, high margins and historically strong cash flows. More importantly, we have consistently been able to perform in both up and down markets through a consistent combination of tight cost controls, value-added guest ticket pricing, new and exciting capital expenditures, a focused acquisition strategy, and close attention to our capital structure. We have been able to create real value for our unit holders through various economic conditions. This consistency does not seem to us to be fully recognized in value at this time and is most likely due to higher gas price concerns and the general view of the health of the national economy. Fundamentally nothing has changed and our management team remains focused on our four cornerstones of safety, courtesy, cleanliness, service, all intertwined with integrity. We are continually looking at ways to add value to our guest’s visit and to control our operating costs. I believe our results through July we have been successful in entertaining guests even in this tough economic environment. As long as we concentrate on what we know best, operating amusement parks and water parks along with resort hotels, we will continue to increase our cash flows year-over-year and the markets will recognize this over the long term. Peter will review the details behind the results through the second quarter in just a bit. But first I’d like to briefly comment on our performance to date. Based on preliminary July results through this past Sunday or August 3, year-to-date consolidated revenues have increased 2% or $11 million. This is on a comparable park basis excluding Geauga Lake. This increase reflects a 3% or 359,000 visit increase in attendance, slightly lower average in-park guest per capital spending, and a 2% decrease or $2 million in out-of-park revenues when compared with the same period a year ago. Over the past five weeks, consolidated revenues on a comparable park and operating week basis were up 5% or approximately $14 million largely due to a 6% increase in combined attendance or 379,000 visits and an $800,000 increase in out-of-park revenues. Over the same period average in-park guest per capital spending was down slightly consistent with the trends we have experienced through the first six months of the year. In general we are pleased with the performance of our parks through this past weekend given the difficult economic conditions across the country especially here in the Midwest. When we purchased the Paramount parks in June of 2006, we believed that the parks we were acquiring operated in stronger regional markets when compared with our existing parks. This geographic diversification has thus far proven to be beneficial to us as we continue to see strength in the Toronto market along with the Washington DC, Charlotte and San Francisco markets over the past six months. These stronger markets have helped to balance some of the early season softness we experienced in the Detroit, Cleveland and Toledo markets where some of our legacy parks operate. Although we have not met all of our park level objectives to this point, we are pleased with the positive trends in attendance and revenues at most of our properties. But the season is far from over. With almost 45% of our budgeted attendance to go, it is important we continue the positive momentum we experienced during the month of July into the peak vacation month of August and the important fall season. At this time, based on preliminary July results, we continue to anticipate generating full year revenues of between $990 million to $1.02 billion and full year adjusted EBITDA of between $340 million to $355 million. Before I turn the call over to Peter for a more detailed review of our second quarter results, I would like to briefly discuss land we have recently decided to market near Toronto. After a feasibility study of the 82-acre parcel of land located adjacent to Canada’s Wonderland near Toronto, we have concluded that this land is not necessary for the future expansion of the park. We believe this land is to be valuable and we have contracted with Colliers to market the 82 acres. To date we have received several inquiries and bids on this land for both cash purchases and joint venture opportunities. While we do not have a specific date in mind, we do hope to make a final decision regarding this land over the next few months. Any funds raised from this sale will be used to pay down our existing debt. The sale of non-earning assets is another step in bringing our total debt outstanding down to a more suitable level. I assure you that Peter and his finance team continue to look for ways to lower our costs of capital and to monetize non-earning assets while Jack Falfas and his operations team continue to look for ways to improve guest experience and increase our operating cash flows. At this point I’ll turn the call over to Peter to discuss the second quarter numbers in more detail.
Peter J. Crage: Let me begin by emphasizing that virtually all of the revenues from our seasonal amusement parks, water parks and other resort facilities are realized during a 130 to 140 day operating period beginning in the second quarter with the majority of revenues concentrated in the peak vacation months of July and August. Only Knott’s Berry Farm and Castaway Bay are open year-round with both operating at their highest level of attendance in the third quarter. Thus I’ll caution you that it’s always risky to jump to any conclusions about full year results based on second quarter numbers alone. As of last Sunday, August 3, approximately 45% of our annual attendance is yet to come. Our current fiscal results are not directly comparable to the prior year as the current period includes an additional week due to the timing of the fiscal second quarter close. In addition, current period results are impacted by the restructuring of our Geauga Lake property from a combined amusement park and water park to a stand-alone water park beginning with the 2008 season. Since material differences in our statements of operations are largely due to the additional week in the current fiscal period as well as the impact of the Geauga Lake restructuring, I will also discuss our operating results on a comparable period June 29, 2008 to July 1, 2007 on a same park basis excluding Geauga Lake. Let me begin by discussing our six-month results. The 2008 fiscal six-month results span a 26-week period and include a total of 1,162 operating days compared with 25 weeks and 1,046 operating days for the fiscal six months in 2007. Net revenues for the six months ended June 29, 2008 increased 11% to $336.6 million from $304 million in 2007. This is broken down as follows: $181.2 million in admission revenue, $129.9 million in food, merchandise and games revenues, $25.5 million in accommodations and other non-park revenues. The increase in revenues reflect a 12% or 838,000 visit increase in attendance and a 1% or $0.23 decrease in average in-park per capita spending to $40.45. Out-of-park revenues increased 6% or $2.2 million to $40.5 million compared with $38.3 million last year. Comparing both 2008 and 2007 through the first full six months of the year on a same-park basis, total revenues would be down less than 1% on flight attendance, flat in-park guest per capita spending, and a slight decrease in out-of-park revenues. Operating costs and expenses for the fiscal six months increased 8% to $285 million from $264.8 million in 2007 due to the additional week in the current year. These costs are broken down as follows: $33.2 million in cost of food, merchandise and games, $193 million in operating expenses, and $58.8 million in SG&A. After depreciation, amortization and a $3.3 million impairment charge related to the sale of fixed assets at Geauga Lake, the operating loss for the six-month period decreased $8.8 million to $1.9 million in 2008 compared with $10.7 million in 2007. Those of you who regularly follow our results know we believe adjusted EBITDA earnings before interest, taxes, depreciation and other non-cash items provides meaningful insight into our operating results since we use it for budgeting, cash flow analyses, and measuring park level performance. Because it’s important to us, we make it a point of sharing it with investors. For the fiscal six-month period, adjusted EBITDA increased $12.4 million or 31% to $52 million compared with $39.6 million during the same period a year ago. Comparing both years through a full six months and on a same-park basis, adjusted EBITDA would be down approximately $2 million to $4 million between years due primarily to soft early season attendance at two of our largest parks, Cedar Point and Knott’s Berry Farm. Interest expense for the fiscal six-months ended June 29, 2008 decreased $2.5 million to $67.1 million. This decrease is due to lower interest rates on our variable rate debt, our ability to fix an additional $300 million of term debt at a favorable rate through an interest rate swap agreement entered into during the first quarter of 2008 and a lower average daily balance on our revolving credit facilities when compared with 2007. This was somewhat offset by an additional week of interest expense. The credit for taxes of $39.5 million was recorded in 2008 to account for publicly-traded partnership taxes and the tax attributes of our corporate subsidiaries. This compares with a credit for taxes of $31 million for the same fiscal six-month period in 2007. After interest expense, the credit for taxes and a small miscellaneous expense, our net loss for the fiscal six-month period totaled $29.1 million or $0.53 per diluted limited partner unit compared with a net loss of $49.6 million or $0.92 per unit a year ago. Now on to our second quarter results for 2008 second fiscal quarter ended June 29 while last year ended June 24, 2007. Each span a 13-week period however due to the later timing of the fiscal calendar, the 2008 second quarter includes an additional 75 operating days when compared to 2007. For the quarter net revenues increased 8% to $296.2 million from $274 million in 2007. This increase reflects a 10% or 596,000 visit increase in attendance at a 6% or $1.7 million increase in out-of-park revenues. Lightly offsetting these increases was a 1% or $0.33 decrease in average in-park guest per capita spending during the quarter. Operating costs and expenses for the quarter increased 3% to $194.4 million from $188.2 million in 2007 due primarily to the additional operating days in the period. Offsetting this slightly was a reduction in second quarter operating costs at our Geauga Lake property with its conversion to a stand-alone water park. After depreciation, amortization and the $3.3 million impairment charge operating income for the quarter totaled $54.5 million up $14.3 million from the second quarter of 2007. Adjusted EBITDA for the quarter increased 19% to $102.1 million from $86 million a year ago. The $16.1 million increase was primarily attributable to the 75 additional operating days in the second quarter of 2008 along with our continued efforts to control operating costs. On a comparable number of operating days and a same-park basis discussed above, adjusted EBITDA for the second quarter of 2008 would be essentially flat with last year. On a trailing 12-month basis adjusted EBITDA increased 5% or $16.8 million to $352.9 million in 2008 from $336.1 million in 2007. This increase was primarily due to the additional week in the current year period. Although 45% of our 2008 operating season is still ahead of us, performance similar to the 2007 third and fourth quarters in 2008 will place our full year operating results within our 2008 guidance of $340 million to $355 million of EBITDA. Over the past five weeks consolidated revenues on a comparable park and operating week basis were up 5% or approximately $14 million largely due to a 6% increase in combined attendance or 379,000 visits and an $800,000 increase in out-of-park revenues. Over the same five-week period average in-park guest per capita spending was down slightly consistent with the trend experienced through the first six months of the year. Now I’d like to review the balance sheet. At the end of the second quarter our receivables and inventories were at normal seasonal levels and we have the necessary revolving credit facilities in place to fund current liabilities, capital expenditures and operating expenses as required. Partner equity totaled $213 million and our total cash on hand was $32.9 million. As of June 29, 2008 total debt outstanding was $1.71 billion of variable rate debt, $17.5 million of which is classified as current, and $123.5 million which is borrowed under our revolving credit facility. As of June 29, 2008 $1.6 billion of our outstanding variable rate long-term debt has been converted to fixed rate debt through the use of several interest rate swap agreements and as a result our current cost of debt is approximately 6.7%. We’re pleased to report that we finished the quarter in sound financial condition in terms of both liquidity and cash flow. Over the past several weeks we have received questions from investors regarding our credit agreement and covenants. Before we conclude our prepared remarks, I would like to briefly review these with you. Our loan agreement includes the customary covenants to monitor performance. These include the leverage ratio which is total debt over a rolling four-quarter EBITDA and the fixed charge coverage ratio which is a rolling four-quarter EBITDA over rolling four-quarter fixed charges. Our fixed charges are defined as cash payments for interest, taxes, and capital expenditures. The agreement also includes provisions restricting cash outflows such as partnership distributions which are driven or limited by cumulative cash flow generated by the business. There are two provisions that may limit or suspend our ability to pay distributions. Distribution limitation provision essentially takes into consideration cumulative operating cash flows in or EBITDA and cumulative cash flows out over the life of the debt or since mid-2006. This provision also takes into account the seasonality of our business. Essentially if our rolling 12-month EBITDA were to fall below the range of $325 million to $330 million, this distribution limitation provision could potentially be triggered. The other covenant is the distribution suspension provision. This provision is computed similarly to the leverage ratio but has tighter parameters. Based on the second quarter results excluding the additional week we are currently at 5.1 times debt to EBITDA compared with the maximum 5.5 times as permitted by the loan agreement. This will decrease to 5.25 times in the fourth quarter of 2008 and further to 4.75 times in the fourth quarter of 2009. There are no equity-related covenants. We believe going forward our cash flow from operations will be sufficient to meet working capital needs, debt service, planned capital expenditures, and regular quarterly cash distributions for the foreseeable future. And we are proactively managing the various cash flow components that influence the distribution and believe we are taking appropriate actions to avoid triggering the more restrictive covenants. As Dick mentioned earlier, we have contracted with Colliers to market the 82 acres of undeveloped land we currently own in Toronto adjacent to and north of Canada’s Wonderland. We have already begun to work with several interested parties and are hopeful we will be able to provide you with additional information in the near future. Any proceeds from the land in Cleveland and Toronto will reduce term debt and further assist us in covenant compliance. Our current term debt is attractively priced and does not mature until February and August 2012. We will continue to look for opportunities to take advantage of favorable market conditions, review non-core assets that may be able to be monetized, and do what is necessary to optimize our capital structure for the long term. At this point I’ll conclude our prepared remarks and allow for any questions you may have.
Operator: (Operator Instructions) Our first question comes from Kit Spring - Stifel Nicolaus & Company, Inc.
Kit Spring - Stifel Nicolaus & Company, Inc.: Could you talk about how you think your weather patterns were this year, whether they had a favorable impact or would you consider the weather to have been more or less normal? And then maybe talk a little bit about how you’re dealing with rising energy and food prices and your success with passing those costs through to consumers? It looks like it’s going pretty well so far.
Richard L. Kinzel: Weather as you know is part of the business and last year we had very poor weather in August in some of our parks. This year we experienced abnormally poor weather in the early part of the season but hopefully at the end of the year it’ll balance out. We figured in our budget that there’s going to be so many bad weather days. Sometimes there are more than others. For example, Dorney Park when there’s a hurricane in Florida and the weather comes up the East Coast, that affects that park considerably. All the parks are different but we try to take some of that into consideration when we do the budgets and figure that not every day’s going to be 72 and sunny. As far as passing costs along we certainly have had increases just like everyone and energy costs. We have been able to pass along our in-park services, merchandise and food prices. Those prices have been increased throughout. And on Saturday we began a process of raising the admission prices in all of our parks somewhere between $1.00 and $2.00 and that will be in full effect by the end of this week.
Operator: Our next question comes from Joe Lachke - Wachovia Capital Markets, LLC.
Joe Lachke - Wachovia Capital Markets, LLC: You mentioned in the press release a new marketing program you’ll be introducing in the coming months. Can you give some more color on what you have planned and if this will be incremental to promotions that were originally planned for the year?
Richard L. Kinzel: Joe, it is all in our business plan that we put together last year. We don’t have anything planned special. We don’t feel that there’s a need to do that at this time. What you will be seeing in the next couple weeks of course will be our push to try to sell the 2009 seasons passes. We’ll begin that earlier this year than in previous years but pretty much right now we’re staying with our business plan and the plan that we put together last year.
Joe Lachke - Wachovia Capital Markets, LLC: Are there potentially some properties for sale, i.e. Anheuser-Busch properties? If at an attractive price, would there be any interest from you guys?
Richard L. Kinzel: Joe that’s very skeptical or very hypothetical. We’re always looking to grow the company and to expand the company but our balance sheet as outlined we’re pretty heavy right now. What I’ve said before is certainly if someone needed a management company to come in there and manage those parks for them, we would certainly welcome that opportunity and love to do something. But our balance sheet is such right now and under our partnership provisions where all available cash is paid in distributions, we’d have a very, very difficult time in trying to come up with the price for those parks. They’re very, very attractive parks; they’re well run; they’re beautiful properties; but I just think we’re in a position at this time to take a hard look at them.
Joe Lachke - Wachovia Capital Markets, LLC: Given where you’ve seen results through August 3, can you talk a little bit about your comfort level within the upper or lower half of your revenue and EBITDA range guidance?
Richard L. Kinzel: As Pete said if you take a day-to-day comparison, we’re about flat with last year. We’re going into a very strong fall season here in the Midwest; however we feel that we have some introduction of some fall promotions at the other parks that’ll maybe offset that. Right now as we’re sitting here I feel very comfortable that we’re going to be at the lower end of our guidance on both revenues and EBITDA.
Operator: Our next question comes from Hayley Wolff - Rochdale Research.
Hayley Wolff - Rochdale Research: Your last comment on a day-to-day basis you’re flat with last year. That’s through the end of the second quarter, right?
Peter J. Crage: That’s correct.
Hayley Wolff - Rochdale Research: But I suspect if you’re up the way you were up in July, then maybe you’re tracking a little bit ahead.
Peter J. Crage: A little bit ahead. And we had a very strong fall last year. It’s tough to go up against. So that’s why Dick said we still feel comfortable with the guidance and at the lower end of the guidance we made earlier this year.
Hayley Wolff - Rochdale Research: Can you take a stab at what explains the acceleration in attendance in July?
Richard L. Kinzel: Most of the parks were operating pretty much the way we figured going into July with the exception of the Midwest here, particularly Cedar Point and Kings Island and Michigan’s Adventure which were impacted by the economy. We did have some Geauga Lake business that came over to Cedar Point, group business that was redirected from Geauga Lake to Cedar Point. That came through in the month of July. The weather has been better and hopefully those are the reasons. It started off very, very slow but it’s starting to pick up.
Hayley Wolff - Rochdale Research: Aside from weather, what are your hotel bookings looking like in August thus far?
Richard L. Kinzel: Unfortunately with hotels you can only sell those out once. We got so far behind in the early part of the season, you can never make that up. For the last few weeks especially on the weekends, the weekends have been 100% occupancy in all of our facilities and during the week they’ve been at least 85% to 95% full and that pattern pretty much is going all the way out until about August 20 or the 25. But again we can’t make up for what we did last year because at this time last year our hotels were also sold out. We do have a little bit higher ADR but occupancy will just about be the same. It’ll be about the same because we just have no more rooms to rent.
Hayley Wolff - Rochdale Research: But the August booking patterns are good against last year?
Richard L. Kinzel: Yes.
Hayley Wolff - Rochdale Research: Any discounting going on, on overall ticket pricing?
Richard L. Kinzel: Nothing that we didn’t have in our business plan going into the season. There’s an $8.00 discount on soft drink cans, Pepsi cans and Coke cans depending on which park you’re going to. There are discounts on the Internet but those are basically the discounts that we figured into our business model.
Hayley Wolff - Rochdale Research: Can we get any information on the Geauga Lake sale?
Peter J. Crage: We had a few interested parties on various parcels, three different parcels of land, hotel, 100 acres, another 400 acre parcel, so we continue to talk with them. It’s a soft market as you know. We’ll talk with those three parties and discussions will continue to see if something makes sense. One’s an outright purchase; another one is a joint venture, so we’ll just see what happens.
Hayley Wolff - Rochdale Research: On the property in Toronto, I guess the last number I had heard is that it’s worth something like $500,000 or $600,000 an acre. Is that still reasonable?
Peter J. Crage: Comps in Canada right now are going anywhere from, acreage in that area anywhere from a low of $600,000 an acre to the high of $1 million an acre.
Hayley Wolff - Rochdale Research: Wow. I was low.
Peter J. Crage: That’s good to always be low because if we can do better than that, that’s great.
Operator: Our next question comes from Scott Hamann - KeyBanc Capital Markets.
Scott Hamann - KeyBanc Capital Markets: Can I get some color on the in-park spending and maybe where some of that weakness is?
Richard L. Kinzel: The weakness is in merchandise and games and admissions per capita. Food prices we’ve been able to pass along very easily the increases there and when people come to the park they have to eat. They’re here for an average length of stay of anywhere from six to nine hours depending on the park, so they’re always going to have hopefully one meal and a couple of soft drinks during the day and some ice cream. So our food per capita is where we thought it would be. It’s strong at all of the parks. However, during these weak economic times people just will not play games and they don’t take home a souvenir with them. Admissions is down probably the biggest of all mainly because of the volume of seasons passes we sold this year.
Scott Hamann - KeyBanc Capital Markets: Just maybe a little bit more detail on what you’re expectations are and exactly what you’re trying to accomplish with the recently-announced corporate partnership program?
Richard L. Kinzel: Basically what we’re trying to do is to maximize the assets we have in the park without interfering with the guests’ comforts and guests being welcome in the park, their experience. And basically we’ve tied in with the Kempton Group and they’re out actively trying to look for sponsorships for us or promotional partners.
Scott Hamann - KeyBanc Capital Markets: In terms of maybe operating days for the third and fourth quarters, I know we kind of had a shift in the first half of the year, what’s your expectation for what that’s going to be maybe year-over-year for the third quarter?
Richard L. Kinzel: Pete can talk about the actual days. He’s looking that up. From an operational standpoint Labor Day is on the 1st of September this year and here in Ohio or at least in this area schools are going back after Labor Day for the first time in a long time. And that certainly should help us the last week in September, but we will lose about six days from last year because I believe Labor Day last year was on the 5th or the 6th. So we will lose those days, but they were soft days.
Peter J. Crage: That’s on an operating day basis. On a fiscal basis Scott we lose 118 days in the third quarter so that at the end of the third quarter we have comparable periods to 2007. I think that answers your question. Through the third quarter we will be comparable. Now if you fast forward that through the end of the year, we expect to have about 14 additional operating days for the entire year where you compare 07 to 08 and that is due to some variations in the calendar.
Scott Hamann - KeyBanc Capital Markets: Maybe just finally talk about where you are with the Great America park? Are there negotiations ongoing with those parties out there and kind of where do we stand right now?
Richard L. Kinzel: It’s the same as we left it on the last conference call. Pretty much the 49’ers know what our requirements are. They’re weighing what they need, so pretty much it’s their decision to make. They’re weighing how valuable the property is and what they think the best use of that property is, and we have not heard back from them for quite a while.
Scott Hamann - KeyBanc Capital Markets: Is there any timeline they’re operating on?
Richard L. Kinzel: Well they had established a tentative timeline of having a stadium built for the 2012 season, but as these things go I think they’re somewhat delayed not only with respect to their dealings with us but I understand there are some other issues they have to deal with in their environmental impact report that may delay them six months to a year. So we’re not familiar with the inner workings of their work, but I understand they’re delayed somewhat for a number of reasons.
Operator: Our next question comes from Justin Harrison - Ramsey Asset Management.
Justin Harrison - Ramsey Asset Management: Peter, early in your comments you talked about adjusting for that extra week. Was that in the first six months or trailing 12 months? I wasn’t clear. You talked about revenue and EBITDA numbers.
Peter J. Crage: It’s in the trailing 12 months and the first six months on a fiscal comparative basis.
Justin Harrison - Ramsey Asset Management: And just remind me what those numbers were on the revenue and EBITDA, for the six months?
Peter J. Crage: Revenue for the first six months this year $336.6 million; last year $304 million. And trailing 12 months which is really 53 weeks compared to 52, $1.02 billion versus $966 million. EBITDA for the six month period ended in 08 $52 million versus $39.6 million. And trailing 12 month $352.9 million versus $336 million. And you’ll find those also in an attachment to our press release we released this morning.
Justin Harrison - Ramsey Asset Management: But that factors in the extra week. I thought ahead of that you talked about what it was balancing out for that extra week.
Peter J. Crage: For the six-month period we believe that, as you might expect, peak season identifying EBITDA we identify an estimate order of magnitude of flow through. We believe that EBITDA would be anywhere from $2 million to $4 million behind on a comparable operating day basis when you compare the six-month period in 08 to the same six-month period in 07. Does that answer your question?
Justin Harrison - Ramsey Asset Management: It does. Thank you. Yes, that’s exactly what I was looking for.
Peter J. Crage: And then we’ve of course picked up a little bit in July, which is helpful to us.
Justin Harrison - Ramsey Asset Management: And the five-week period then started basically the start of Q3?
Peter J. Crage: Yes.
Operator: Our next question comes from Hayley Wolff - Rochdale Research.
Hayley Wolff - Rochdale Research: You had mentioned season passes is taking down some of the admission per cap. Can you give us the ultimate score card on what season pass sales look like for the season and maybe some color on utilization?
Richard L. Kinzel: Our season pass sales are up over last year considerably especially - we introduced some new programs at the legacy parks that we modeled after the Paramount parks and we went back to the Paramount parks and renewed some of the perks that they had there prior to the acquisition. Consequently that raised the level of season pass sales at both the legacy parks and the PPI parks, and so far that’s worked out very well for us. So season pass visits at all the parks are up and consequently that hurts our admissions per capita but it certainly adds revenue to the bottom line. As far as flavor, what kind of flavor were you looking for Hayley?
Hayley Wolff - Rochdale Research: I was just trying to get a sense of what utilization looks like? And are you talking up considerably, is that a 10% number, is that units, dollars?
Richard L. Kinzel: We can’t break it down but it’s up considerably especially at the Canadian park and Cedar Point is doing very well.
Peter J. Crage: We don’t care about specific increases by park or even at some of our season passes, but as Dick mentioned they’re up considerably even with some of the changes we’ve made. Visitation though, utilization, depends on the park. We’re seeing generally speaking people are taking advantage of a value but there are a few parks where visitation isn’t as high as other parks. So you really have to look at it on a park-by-park basis as well.
Operator: Our next question comes from Scott Hamann - KeyBanc Capital Markets.
Scott Hamann - KeyBanc Capital Markets: In some of the survey work that you guys do around the parks, have you been able to really discern any trends that customers are in fact staying closer to home and doing the regional amusement park theme as opposed to taking longer trips?
Peter J. Crage: We’ll have a real good feel for that at the end of the season when what we do is compare all the different parks, in-park surveys match them one on one. We certainly know just by being in the parks that we certainly are being affected in Ohio with Detroit being a two to two and a half hour drive away from Sandusky and with the economic conditions there. I just really can’t comment until we really see the results as they come in and we’re comparing them to the other parks.
Operator: At this time we have no further questions.
Stacy Frole: At this point if there are no further questions, I’d like to thank everyone for joining us on the call today. Should you have any follow-up questions, please feel free to contact me at 419-627-2227. And we look forward to speaking with you again in early November to discuss our third quarter results. Thank you.